Sal DiMartino: Good morning, everyone. This is Sal DiMartino, Director of Investor Relations. Thank you for joining the management team of New York Community Bancorp for today's conference call. Today's discussion of the Company's Second Quarter 2021 Results will be led by Chairman, President and CEO, Thomas Cangemi.
Thomas Cangemi: Thank you, Sal. Good morning to everyone, and thank you for joining us today to discuss our second quarter 2021 performance. Joining me in our Long Island headquarter is our Chief Operating Officer, Robert Wann and our Chief Financial Officer, John Pinto, also joining on the line from Flagstar Bancorp by Sandro DiNello, President and CEO of Flagstar and Lee Smith, President of Flagstar Mortgage. As you may have already seen Flagstar reported strong second quarter results today. We also announced better-than-expected results for the second quarter of the year. This is the second consecutive quarter with better-than-expected quarterly results. I'm very happy with our strong operating performance this quarter, which is highlighted by continued expansion in our net interest margin, lower operating expenses, good loan growth, solid credit quality, and most importantly, a substantial improvement in our earnings per share. In fact, this is the company's best quarterly operating performance in over 15 years when we reported diluted EPS of $0.35 back in first quarter of 2005. On a non-GAAP basis, excluding mostly merger-related non-recurring items of $12 million, diluted earnings per share were $0.33, up 57% year-over-year and $0.03 or 10% ahead of consensus estimates. While diluted earnings per share were $0.30 a share, up 43% on a year-over-year basis. As for the details of the quarter, starting with our net interest margin, our second quarter margin was 2.5%, up two basis points sequentially. Prepayment income was very strong during the second quarter, increasing 35% to $27 million compared to the first quarter of the year and added 20 basis points to the margin compared to 15 basis points in the previous quarter. Excluding prepayment income and the impact from holding excess liquidity during the quarter, the net margin increased five basis points to 2.3% compared to the prior quarter ahead of our expectations.
Operator: Thank you. We will now be conducting a question-and-answer session.  Thank you. Our first question comes from Steve Moss with B. Riley Securities. Please proceed with your question.
Thomas Cangemi: Good morning, Steve.
Steve Moss: Hi good morning. Maybe just starting here with margin expectations and loan pricing here, good quarter here in terms of the underlying core. Just kind of color there, you could give Tom in terms of where you're seeing price have gone?
Thomas Cangemi: So obviously, we just need to change significantly over the – throughout the – so we're seeing anywhere from 3 to 3/8 on a traditional product on the multi in respect to commercial, probably getting 30 basis points to 40 basis points above that. But as far as overall, economic returns in the business, as you can see that the prepayments have been relatively strong and despite the level of prepayments we still grew the book. So we're excited about growing the portfolio. We're still anticipating that mid single-digit loan growth for the company. And I would say on – and if you think about margin with the fact that we have around that 3% type yield coming back on to the portfolio and holding a portfolio at a reasonable growth trajectory for the year. Of course the funds are still declining slightly, so we anticipate further decline in our cost of funds as we move into the second quarter. So I'd say we probably looking at between 3 basis points to 5 basis points as a margin potential expansion in Q2. So the ongoing continuation of the expenses are occurring as we set ourselves up for the business combination with – which will bring a lot of liquidity, more importantly lot of balance sheet opportunity on the hotel side that we're going to evaluate. We haven't been specific as what we're going to do there, it's not baked into the merger math, but we have a tremendous opportunity to look at a lot of combined wholesale liability portfolio as we bring in the excess liquidity. And we'll make a business decision as we get closer to the closing of the transaction. So we're excited about the ongoing continuing margin expansion, even though we've enjoyed a very unique opportunity over the past few quarters that they've been almost a year and a half now of reductions of a cost of funds and improvement in the margins. We anticipate that to continue as we focused on the consolidation of the business model into 2022.
Steve Moss: That's helpful. And then maybe one question for Sandro here, just Sandro, just kind of – if you give us an update on your thoughts on the mortgage banking market and kind where you see things playing out, I do see the guidance in the deck, which is kind of color around that. And what your underlying expectations are with the adverse market fee coming out?
Sandro DiNello: Hi Steve, nice to hear from you. Yes, look, we think that the mortgage businesses continues to be very strong, the projections by the GSEs and the MBA continue to look for a very, very strong mortgage market. What we've been trying to do as you know, you’ve been following us is build a consistent mortgage revenue stream. And I think we've found our way there. And it's shown not only in what we've done this quarter, but also in what we're guiding for next quarter. So we feel very good about the consistency of the mortgage revenue and I think what you see today is, we hope will be sort of a run rate if you will plus or minus 10% over the long-term. I’m going to let Lee to be a little bit more specific about that.
Lee Smith: Yes. Thanks Sandro. Thanks for the question, Steve. So just giving a little more color to what Sandro said. In terms volumes are holding up Steve, so the agencies in the MBA have got 2021 at a $3.9 trillion market, 2022 at $2.7 trillion, 2023 at $2.4 trillion. And then when you look at the primary spread, it's been pretty constant over the last several weeks between 1.25 and 1.35, as have the gain on sale margins. Furthermore, given our diversified mortgage model, we're able to find pockets of opportunities other originators cannot. And so what I mean by that is, we originate in all six sales channels. We have a balance sheet which gives us the available for sale, held for investment and MSR flexibility. And we have an RMBS program which provides execution optionality. We executed on four RMBS deals in Q2 with a third biggest issue of RMBS in the quarter behind JPMorgan Chase and Goldman Sachs. And we're planning on five deals in Q3 and as the GSE step away from certain product classes, such as non-owner occupied, we're able to step in and take advantage, given our balance sheet and RMBS program. The key as Sandro mentioned this being consistent, and we want to bring consistency to our mortgage earnings and gain on sale revenues, because we have so many different levers we can pull to make that happen. So in the second quarter, I guided to $150 million to $170 million of gain on sale. And in Q3, I'm guiding to $160 million to $180 million. The relevance of that is if we're generating north of $150 million gain on sale in the quarter, Flagstar is going to generate over $2 earnings per share for the quarter or $8 annualized. That's a lot of capital and firepower for Flagstar and, ultimately, the combined company.
Sandro DiNello: And Lee, relative to the GSEC that was eliminated, maybe a couple of quick comment on that.
Lee Smith: Yes. It's helpful. And we've seen a pickup in our pipeline from a mark-to-market point of view. And from a balance sheet point of view, given that we're delaying deliveries to at the rate one, when that removal goes live. But if you think about it, that 50 bps, it equates to about a 10 bp higher mortgage rate for borrowers. So while its elimination is positive for prospective refi volume, it's not going to have a material impact. I think what is interesting more recently has been the drop in the tenure to around 1.25. And we've definitely seen an increase in refi volumes as a result of that. And combined with the HFI removing their refi fee, it's helpful. But the removal of the fee in and of itself won't drive a ton of volume, but it's certainly given us a bumper pickup of that pipeline.
Steve Moss: Great. Thank you for all that color and great quarter on both sides.
Thomas Cangemi: Thank you, Steve.
Operator: Thank you. Our next question comes from Brock Vandervliet with UBS. Please proceed with your question
Thomas Cangemi: Good morning, Brock. How are you?
Brock Vandervliet: Hi, good morning. I’m doing well. Going back to multifamily, could you talk about the activity levels there? And how much of the activity you're seeing is purchase versus refi? And more generally, has the corrective phase within that asset class really shaking out at this point or where do we stand there?
Thomas Cangemi: Well, obviously it’s been relatively slow in the past few years, but more importantly with this focus of the pandemic and coming out of COVID has been a lack of activity. But we've done pretty well with our customer base. Refi has always been significant as you can see from the quarter, we had a significant prepayment activity, so we've held a lot of those deals, a lot of them did trade away and we still grew the book, so we were very pleased with that. I'd say that we're looking forward to the second half as being more of a growth year opportunity for us. We still feel confident that we can grow, we'll call it the core multi-family at that 5% type growth rate. I did where the interesting opportunities to be is, when we combine with Flagstar, this is going to be a growth story. And I don't think anybody really has the anticipation of the capital infusion that will go into the combined entity. And we can significantly increase our exposure to a lot of Sandro's great relationships built at Flagstar, including warehouse, commercial real estate, and on the bill to finance. These are positions that were extremely well managed on their end, and they are kept at a certain levels. But when you put a significant infusions of capital on a combined basis, we've done it when in Richmond County merged with NYCB, we were capped out at $50 million a customer, now we have substantial hundreds of millions of dollars of exposure to the best borrowers. I believe that type of growth opportunity will be there for us. Now we’re not giving projections for next year until we close this transaction, but there is no question that the fact that the company is combining, they can increase the best customers with an opportunity to grow with us, at the same time, really go after the deposit opportunity throughout the branch network. So we're excited about the second half, it's not going to be a double-digit on a standalone basis, but we think we can make that 5% net loan growth number. And as far as the specialty finance business, it's doing really well, we have about $2 billion excess sitting out there undrawn, because of supply chain issues and people managing their overall capital stack and then where capital markets are right now. But ultimately, as business picks up, we didn't go through a down and we see that as also a potential high teen grower as well. So we're excited about this company combining, we think it's going to be a growth story as well, and that's going to be, I think, a catalyst for investors.
Brock Vandervliet: And just following-up on multifamily, what's the latest in terms of the threat to 1031 exchanges, has the discussion moved on at this point?
Thomas Cangemi: Well, it's interesting – yes, that's an interesting question, because obviously if I had an answer here, that’d be very surprise to everyone to understand it. But clearly there is no question that it is in the people's mind, we asked, I asked my top customers all the time, is it positive? It is what it is, it's a tax strategy that may or may go – may or may not go away, but right now it seems like it's losing a little bit of momentum. It's a big issue for commercial real estate. What does that do for us? Ultimately, the assets stay on longer assuming they take it away, but the jury's out if it goes away, it's a pretty big benefit for both the commercial real estate owners. But more importantly, the city does transact and get significant economic benefits from transactions that work within the New York City marketplace. So I think that will have implications to the budget of New York City. So as we buy into these tax strategies and invite, now it seems like there is falling, 1031 is always an issue for long-term investors. But they'll find other means to look at the value they'll take out there, they'll go to cash out refi and they'll – they may be able to take less cash out refi, but they'll cash out refi, if the value is there and ultimately hold the asset a lot longer, they'll look at situations such as, looking at the other tax opportunities that are out there, where there are several not as meaningful as a 1031, there are several opportunities such as the opportunities known ones that are taking advantage of, and ultimately, they'll plan their state accordingly, but no question that a 1031 removal was not going to be a positive for the sentiment of the owners.
Brock Vandervliet: Okay. Thanks for the color, Tom.
Thomas Cangemi: Sure.
Operator: Thank you. Our next question comes from Dave Rochester with Compass Point. Please proceed with your question.
Thomas Cangemi: Good morning, Dave.
Dave Rochester: Hey, good morning guys. Nice quarter.
Thomas Cangemi: Thank you.
Dave Rochester: I was wondering, since it has been a few months since the announcement of the deal, and you mentioned you've done some additional work and discovery on opportunities to enhance the performance to start on a combined basis. Can you just frame that more quantitatively to any extent you can, if some of the opportunities you expect on either the loan or deposit growth side or the fee income side? I know you've mentioned, the strong deposit opportunity previously, going after deposits at Flagstar's current warehouse customers, for example, that sounds like a great shot on goal. Can you just quantify maybe how large that pool is you're seeing there now and what you think the chances are you can capture some of that?
Thomas Cangemi: So we see so many opportunities as we spend time together as the two management teams are really working very hard to get to the finish line here. What's most important is that when you look at the announced transaction, none of those attributes are in the deal, right? So we have this double-digit EPS accretive transaction with tangible value creation. We're not forecasting the benefit of a wholesale shift from wholesale to retail deposits, that's going to be a significant benefit as we decide where we're going to go with our liability structure. There'll be tremendous opportunity to look at the combined entity. We’re liability-sensitive, they’re asset-sensitive combined, they can choose our positioning as the Fed has to make their decisions towards the end of the year is where they're heading with interest rates. That's a significant catalyst for us. If you think about the opportunities we discussed on the previous question on the growth opportunity, they have some very strong relationship, they’re number two in warehouse in the country, and we believe we can hold that and grow it very nicely as they look at the best customer base that they have and expand into sizeable concentration opportunities at very low risk, it's a very low risk business model when comes to warehouse, if managed well. And they do a really good job at that. So asides about that opportunity all the invest customers will be reignited by having a capital infusion. So we’ve done it before, as I indicated when the Richmond County emerged NYCB, we significantly increased our CAGRs on loan growth. So the loan growth opportunities can be real from the capital infusion on a combined basis, we're running just stop of $90 billion in a pro forma basis. And this is going to have a lot of liquidity, we got in the escrow opportunities to be inside those business model. And there is going to be some opportunity to deposit spot in the warehouse. They turn away their deposits, they have so much liquidity, we will accept that at the same time, they will be also looking at a tremendous profit turns on Banking as a Service, it's an issue of mine. If you’ve saw my announcement last Friday, we’re allocated resources to building out a digital platform and more importantly, Banking as a Service, we had a winner in the first quarter was our first win, I believe we just got one another one last night, actually two for the second quarter, it's just going to build up to a nice line of business for us as we focused on getting our fair share of the payment space over time and trying to catch up on the technology side. So excited about that, but collectively there is so much opportunity on cross-selling products, I mean on the C&I side, we really don't do much at all to hold our balances on C&I. We're going to be in the C&I business, we get our fair share of a local market with our market share, we should do very well on growing other lines of business that we'll call them verticals that we haven't done in the past. So we're excited about a full service commercial opportunity over time, we don't want to give any guidance right now until they get closer to closing, and we'll talk about the opportunities. But I think Dave, over time, investors will look at this as a growth story where there is tremendous credit enhancement here. So obviously, both companies have tremendous track record on credit and the businesses that we're in are very low risk credit profile.
Dave Rochester: Okay. Appreciate that. Maybe just switching gears, drilling in a little bit more on the warehouse lines this quarter, it looks like the balance held up fairly well, just given the industry trends. I was just wondering how you see that book trending from here, just given the mortgage activity forecast out there. I know you talked about the cash window cap that could actually help drive some more warehouse volume in the market. Can you just talk about how you see that book trending from here?
Thomas Cangemi: They were super excited about the business, I'm going to defer to Sandro and Lee on this, because obviously, they run that business currently. We're going to stand by that and make significant investment, we believe it’s tremendous opportunity. But I'm going to defer to both Lee and Sandro on that.
Sandro DiNello: Yes. Hi, Dave. Nice to hear from you again. Well look, the – from Flagstar’s point of view, if we were – as we run the business independently, the way we look at the warehouse business is, we take as much as we can get in the warehouse. So whatever the market gives us, we're going to take. And so, when the mortgage market is really strong, our balances are going to be higher when it's less strong, they're going to be a little bit lower. Now, in the meantime, given the upcoming combination of our two companies, we are looking at every opportunity that we can expand the lines that we have with existing customers and also to talk to customers who were too big for us previously. So I think we can mitigate some of the natural reduction and balances that we might see in a smaller mortgage market, because of the business combination. But really when you look at the Flagstar balance sheet, you can't – don't get too focused on just the warehouse business, because what we've been able to prove quarter-after-quarter, is that, if warehouse goes down, something else goes up and it depends on where the opportunity is. And that's the beauty of the diversified commercial business model that we have. And that's why our net interest income is very consistent over time. And if you look at that, look at it quarter-over-quarter, you'll see that we're going to be $180 million net interest income plus or minus 5% to 10% every quarter. And if you believe that, that is a run rate for Flagstar, then don't get focused on any one line of business, because in any given quarter builder finance may be lower or higher and warehouse may be lower or higher, but we managed to the total. And then we managed to the net interest margin, and we've been able to show a very stable net interest margin throughout all the economic scenarios, whether you're talking about before the pandemic or in the pandemic or now, our net interest margin went up 8 basis points this past quarter. So we managed to the total and we don't worry about what might be weak or strong in any particular area that we look for the opportunities to offset that in other areas. And then when you add the consistency of the mortgage business that Lee spoke to, if you can get yourself comfortable, that the guidance that – well, the results that we've had recently and the guidance that he's comfortable giving you, that's there, and as he said, the combination of what we're doing in our commercial banking businesses and the mortgage business, I'm just talking about Flagstar now, you get yourself very comfortable I think that $2 a share for this company on a quarterly basis is pretty possible. And when you convert that to the combined company, that's a contribution of $0.50 a quarter to the total, so that's $2 a share contribution coming from Flagstar to the NYCB total on a combined basis. That's what's powerful here. And that is look for talking about the synergies that you asked about. And it's hard for us to answer that question right now. But I ask you don't focus on what the possibility is, look – just focus on today, right, if you believe NYCB can make $0.30 a share a quarter, and if you believe Flagstar on a converted basis, based on the exchange ratio can make $0.50 a share, now you've got $0.80 per share per quarter over $3 a year. I mean, look, the value here – I think the value potential is just outstanding.
Dave Rochester: Yes. Now I agree. Thanks for all the detail. Maybe just one last one on expenses, Tom, those were better than expected this quarter. What are you thinking about in terms of the trajectory going into the end of the year here?
Thomas Cangemi: Yes. We’ve been working hard in keeping the expense line obviously at a very conservative level here, we was budgeted at approximately 130, that came in at about 129, John?
John Pinto: 129.
Thomas Cangemi: 129-ish. Again, I think it's going to be relatively flat, Q3 130, I'll give you some guidance for the year, but I think we have to take the guidance off the table, because hopefully the deal is closed by the fourth quarter of a 5.25 run rate for 2021. We're doing a little bit better than that, so 130-ish, obviously Q1 versus Q2, as well as predominately driven by payroll tax issues, it's the high quarter for payroll tax, but we're pleased, we'll rally please, we're focused on efficiencies. I think there is going to be some opportunities as we combine in the longer run, when we look at automation and technology, we are focusing on getting ourselves caught up on being able to be more efficient by utilization of the five serve conversion from the previous year. We have opportunities as we look to combined entities. We believe that we will clearly achieve our estimated cost savings on the transaction, but we think there'll be more opportunities, as we look at initiatives on dealing with robotics, artificial intelligence, focusing on a technology initiative, that's going to get us caught up to the industry as we move towards more of a commercial banking model. So we are spending a lot of effort on the tech side and we believe there is some great opportunities to even make ourselves more efficient via the tax side.
Dave Rochester: All right. Great. Thanks guys. Appreciate it.
Thomas Cangemi: Thank you, Dave.
Operator: Thank you. Our next question comes from Steven Alexopoulos with JPMorgan. Please proceed with your question.
Thomas Cangemi: Good morning.
Steven Alexopoulos: Good morning. Tom, regarding the deposits that came in from the relationship with Fiserv. Can you give more color on the nature of those deposits and what drove such a wide fluctuations for the quarter?
Thomas Cangemi: Yes, I’m going to defer to Mr. Pinto, he'll go through some of the programs. But just to be clear, that's one of many initiatives we're working on. So we plan on building a Banking as a Service initiative. I'm going to defer to John to specifically go through the program.
John Pinto: Yes. With that program, Steve, it’s related to the economic impact, stimulus payments, both from 1, 2 and 3. So there was a large portion of it that came from the third program. So what happens is when those debit cards are sent out to the individual consumers, the individual people, they start using them. As they're used the deposit balances start to trend down. So as you can imagine, it ramps up very quickly and then there is an initial drop over a month or two, which is what we saw in the second quarter as Tom mentioned in his opening comments were we peaked over $3 billion and then now come down to $1.1 billion as of June 30. And then what happens after a couple of months is that decline starts to slow down as people either use part of the card and leave the rest on the shelf for a little while. So that's what we've seen, we expect it to roll down much slowly in the second half of the year. So we believe it'll have a little duration near force. But as Tom said, this is just the first of hopefully many Banking as a Service opportunities that will have to bring in deposits from our technology partners.
Thomas Cangemi: Yes, Steve. I will also add, as of recently, we found out we just – we anticipate two more to come on this quarter. I believe last night, we also got another anticipated win, and we had won about a week ago, so for the third quarter, we still have two more programs coming on board, one is fee generated, the other one is deposit generated with zero cost to deposits. We have another large one that's in the pipeline, we're crossing our fingers, we’re working hard, just trying to win these deals. And it's just diversifying who we are as a company looking at the funding base, we really want to move away from our dependency and wholesale finance and ultimately – and going back to my initial comments, we bought in close to $400 million from our customers from January 1 through June 30, that was from Orlando going back to our customers and getting our fair share, what's ours is just deposits. So it's an initiative, it's a culture, now we're changing the culture here. We're doing lending and you have to have your deposit relationships, so we talked about initially my strategy, the low-lying fruit to be taken from the customer base, that's ours. We have the technology, we have a strong partnership with Flagstar, the commercial service in banking platform is standardized, people are very comfortable with it and we're going to expand upon it. So when we do loans, we wanted the positive relationship, it's not just lending and trying to find the funding, it’s getting the loans and getting the deposit as a combination of the business relationship. And we're proud of that. So our learning team and our retail strategies were working hard together. The handoff goes from lending to retail and they close the deal and putting them onto private banking. And we picked up $400 million, it's a pretty good start. I didn't want to give too much excitement on the initiative, because it's just under $4 billion now, but it's a nice growth trajectory for us and I think we're going to have further wins. We are looking at lines of credits for our best customers and part of their lines of credit is that they also bring in more deposits. And it's been working well for our very wealthy property once I’ve been doing business with us for multiple decades, it's a culture that the board has clearly accepted and we're going to move forward with this, but it's going to be the way we do business going forward. It's going to be about changing the culture on the deposit side, we have to fund our balance sheet more like a traditional bank model and that's the goal. So over time, we'd like to see some more room on the reduction of the wholesale. I think it's exciting to look at the combined benefit of Flagstar and NYCB combining, we have lots of optionality as we try to figure out where rates are going. We have lots of liquidity, I mean, at this point in time, Flagstar has liabilities that are funded out to other banks. We'll take it, we'll bring it back onto our balance sheet and then look at our wholesale position and hopefully, we reduce our dependency. But over the long-term, we want to fund like a traditional commercial bank.
Steven Alexopoulos: If we stay with the $4 billion of deposits from loan customers, one, how do you size that potential? And what is it you're doing to get that kind of growth? Are you just basically bundling the pricing with new loans?
Thomas Cangemi: So just to be very simplistic, at the end of the day, our businesses are relatively short portfolio, it's not long-term finance. You're going to get a shot at these customers over and over again. Let's say average life of two and a half to three years. So as they come back to us, it's part of our culture, it's a requirement. Historically, a lot of transactions were waived. When I changed my pricing, it's just getting our share of what's owed to us, which is the operating accounts, at least security deposit accounts, working with extending lines of credit, that they have other lines of businesses that they’re more than willing to move their relationship from. Let's say the money center bank, and maybe they're moving from your company to – from JP Morgan to over to NYCB, it's focusing on, if you want a bank with us, if you want the money to put out, we want to have your deposit relationship, especially if we have the technology to services it, and it becomes part of a cultural request. It's not nothing to do with banking, just that historically culturally, it wasn't a priority of the bank. This is – I'm making that a priority of modern leadership, it has to be done. That's how we're looking at the business going forward in all businesses. And once we started ramping up, I, our C&I expectations in the marketplace and we expand what the Flagstar people on the Reggie Davis, we’re going to be looking at these markets and bringing in the positive relationships from the local community, which we don't do currently, that's going to be another catalyst. Now, we're not going to put a growth number on that, but that's starting at zero. So I'm very excited about that opportunity. I know that we're going to be ramping that up as we get towards the next year. And we're excited about getting people out in the field and getting our fair share of the customer base that's in our marketplace. We have huge deposits share when it comes to deposits. But now we need the people in the field to bring in the positive relationships, but that's going to be a focus of mine.
Steven Alexopoulos: Got you. Thanks. And just finally, so the prepayment income was obviously very strong in the quarter. Tom, what portion of the loans prepaying are staying with you guys, and given where rates have moved? Are you starting to see more now move to take advantage of the government option, that go like in longer-term funding?
Thomas Cangemi: It’s a great question. Obviously we have $27 million in total and $5 million was from our best portfolio. So we have about a $600 million portfolio left on the dust that's something we don't control, that’s a securitized multi-family package, and we did get that from time-to-time. But when it comes to the business, we had a couple of one-ups, I'd say, when you take out the large one-ups, but still probably around 50%, 60%, I'd like to see higher. I think we should do better. Unfortunately the government’s offering is very attractive financing, I'll tell you, what's interesting about the combined company. We will be offering an alternative to the government program, which is being able to offer them capital markets activity, where we can swap out their instrument to allow us to be competitive and offer another product to keep the business. And we may decide to package it up and sell it. But we all losing some to the government and some of the larger trades that went through the quarter, it is what it is that the customer makes a choice. But when we fight for those long-term relationships, you don't want to lose a large pool of strong relationships – loan portfolios, but from time-to-time, they make business decisions on that portfolio. I will tell you that as it seems like going into the second half, we're going to be very focused to ensure that we get a lot of the bread and butter business. So we’re mining the portfolio, we’re very focused on looking at some other ways to get these borrowers to the table, if rates were ever to go up sometime in the future, this is a short book, so they have to make decisions. But I'll tell you that the government has been somewhat aggressive as to rate, but we're going to be overall competitive as we merged with Flagstar and take some of the capital markets activity that we can offset some of these losses that go to the government. We’re clearly having a derivative opportunity to embed it the same with financial structure into the loan book and work with our customers that can retain the business, there is going to be an option for us. So it is what it is, it's always been – it's all 800 pound gorilla in the room historically, it's been the U.S. government, and we've done pretty well. We've grown the book, and prepays them installments, I mean two quarter back to back of strong prepay, usually Q3s are generally slower in general, because of the holidays, but, we’d usually ramp it up in Q4 and it seems that we're focused on obviously growth. So with the current growth where we are today going into the end of the year, I still feel confident we can grow the book mid single-digits on a standalone basis, not including Fiserv.
Steven Alexopoulos: Yes. That’s very helpful color, Tom. Thanks for taking my questions.
Thomas Cangemi: Thank you, Steve. Sure.
Operator: Thank you. Our next question comes from Christopher Marinac with Janney Montgomery Scott. Please proceed with your question.
Thomas Cangemi: Good morning, Chris.
Christopher Marinac: Thanks. Hey, how are you? Tom, I want to ask about the share buyback timing. How much time has to pass after the merger closed before you can deploy the additional earnings? And is that something that's on the near-term horizon?
Thomas Cangemi: I think it's fair to say, it is on the near-term horizon. Obviously, we're in proxy solicitation right now on both sides. I know that Flagstar had an opportunity to generate significant capital, those numbers are actually better than expected on a combined basis. On a very conservative assumption we anticipate and that's $0.5 billion of additional capital outside of our current run rate that will generate for our potential capital alternatives. And I think when the company combines, obviously, we’re in a midst of closing the transaction, assuming we're going to – once if the transaction closes, we'll look at all capital market opportunity, including our current dividend, which is very strong, and we standby. As well as the opportunity to look at from time-to-time, the buyback opportunities depending on market conditions. Look, at the end of the day, we want to put this money into grow. We think that is a great growth opportunity, I know it sounds interesting, because the bank has not been growing at double-digits, but collectively you have a real opportunity to grow this company as a growth story and pay a very strong dividend. And depending on market conditions, we can always move that over to a dividend and the buyback over time, depending on how much capital is generated. As Sandro illustrated, they generate a ton of capital. We're expecting very conservative assumptions, when we put this deal together in excess of $500 million after all fully embedded cost saves go through. So that’s a lot of excess capital that we would have to either grow and/or buyback our stock, depending on market conditions, as well as paying a very strong dividend. And that $0.5 billion access includes us continuing paying our current dividend, so it's a significant amount of capital generation.
Christopher Marinac: Right. So the payout ratios should improve, but the absolute distribution could rise as you…
Thomas Cangemi: Yes, absolutely. So in the best world, we're going to look at all alternatives, but we believe there's growth. And then Sandro and I spent a lot of time on opportunities, looking at the customer base, we're modeling that as we speak right now. They have great relationships. They capped out, they will have significant runway when the capital gets infused together and go after their current customer base and also going into on the warehouse, some larger relationships that they were just probably too small to offer any terms, we can now offer collectively and offer them more opportunities to build that book of business. So that's the priority, growing the business is the priority. Reinvesting back into the company and building a better platform for us. It's going to be the priority. But subject to market conditions, we will put all options on the table.
Christopher Marinac: Great. And last question, Tom is just on the integration of the system side, how much we'll get done by year-end 2021 versus what's pushed into the first half of 2022.
Thomas Cangemi: Look, this is our largest transaction. The beauty of it is Fiserv, the Fiserv DNA platform, you can't ask for a better core conversion. This is great. Now they're our partners. They’re Sandro’s partners where they’re collectively by far their largest customer with all hands on deck here. We anticipate a lot of work has been done. We will convert the systems. We're shooting for early in the second half of next year. So assuming we closed the deal early in the fourth quarter, we should be able to have the system converted by midyear next year. In the meantime, a lot of great decisions we've made, we talked about my leadership team. We've established that. We made that public. Just to be clear, and I stand by my alliance here, it's 13 direct reports to me, six Flagstar, seven NYCB. This is not a traditional merger. This is an alliance. We spend a lot of time culturally integrating the fabric of the two franchises. It's super important that we make this company one. It's not us and them. It's combining the strengths of both sides and building a powerful combined entity where the culture integrates. And that's the culture throughout the organization. My leadership has been set, and my direct reports will set their leadership. And it's going to be a blended culture. So we're excited about it. We'll have dual headquarters. We'll have unique verticals, and we're going to build on to it. And we're looking for other lines of businesses. We're not just stopping at what we have today. There are opportunities out there. It doesn't have to be bank acquisitions. It could be lines of businesses that are out there. There's been significant consolidation that's in our marketplace and as well as in Sandro's marketplace. We should capitalize on that. There's going to be a lot of fallout within the system that we want to take advantage of. So we're excited to close this deal. We're excited to blend the cultures and Sandro's team is excellent, and we're excited to partner with them. Maybe Sandro wants to add a couple of comments because I know he's on the line, but we've been having a very good partnership. And so we're looking forward to coming together here.
Sandro DiNello: Well, I think the question was about the integration, and the integration is moving along at a nice pace. Teams are working together really well. And I think that, as Tom said, the Fiserv relationship that we both have is a big plus. So I think that getting the basic system – core system converted won't be particularly difficult. And then if you think about the Flagstar business and the mortgage side, it's – nothing needs to convert there. It's going to stay where it's at. So we view this as – I don't want to oversimplify it. Because when you look at it, there's over 400 different systems that you have to deal with. So it's an undertaking, but I'm very, very comfortable with the progress that we're making. And I don't think there will be any integration issues that will have a negative impact on the business operations as we get to the legal day one and then eventually into the full conversion.
Christopher Marinac: We appreciate it.
Operator: Thank you. Our next question comes from Peter Winter with Wedbush Securities. Please proceed with your question.
Thomas Cangemi: Good morning, Peter.
Peter Winter: Good morning. Tom, with the new potential lending opportunities with combining with Flagstar, I was just wondering, how are you thinking about office space? And the reason I ask is, I mean the credit portfolio from a credit standard, it's doing great. But it does seem like some level of work from home is going to be permanent and in fact, would affect the office value buildings longer term?
Thomas Cangemi: Yes. Great question. That's going to be interesting to find out how that all pans out in New York City. You know who we are. We've lent to some very strong borrowers, so the collateral that we have is low leverage. If you think about the – we talk about criticized assets that, that may lead to the office discussion. We believe we peaked in February as far as assets moving into criticized category so we're seeing the ongoing decline as they're getting their cash flow reevaluated and moving back to a higher rating. That's very encouraging, along with a substantial drop on loans that we're paying interest only now are full payment. So that trend is going to continue. We deal directly with our large customers on the office side. I think we have about maybe $500 million that's sitting out there that's in the classified situation. The LTV in that book is around 56%, and was just under 60%. And I think we have some enough room there that there's enough equity in a position that there's not going to be a loss to the bank. So we feel comfortable. They have ample liquidity and capacity to pay. And yes, there's going to be changes in how the employees think about their office space. As far as we're concerned, we're going to be very focused on continuing running to our customers, we feel confident in building out their expectations on what their future needs on, which is in the event that they're looking at moving out of the city. That's fine, and they're going to stay in New York City. But they're leasing up and the actual discussions I've had with many of my customers are that, at the end of the day, they're comfortable that they could continue having a very strong cash flow, and we evaluate those cash flows. So I think it's important to understand that, when you think about our exposure, we're a low leverage lender. I can't make a statement for all of the office space in New York City, but for our predominant New York City portfolio, it's low leverage. And to the best customers with significant backing, so the very strong sponsorship and I'm not – I don't envision any losses there.
Peter Winter: And do you think that's a portfolio that it would decline over time, just given the changes in the dynamics?
Thomas Cangemi: It could decline a little bit. But I mean, look, commercial is commercial. We're going to be very active to bank the best customers in our backyard. We're going to expand that into Sandro's marketplace. We're going to think about – remember, we're going into new markets and we're going to be on the ground. So come Florida, we'll be on the ground in Florida, Lee in the ground in Arizona. We're going to be – they're in the ground in Michigan and other markets that they serve. So we have opportunities for future growth. And I think having the right leaders in those lining verticals is going to bring business to the bank, and we're going to do solid conservative underwriting. That's who we are culturally. That's how Sandro's team is culturally conservative. And we're going to do conservative lending for the best opportunities.
Peter Winter: Okay. Excellent. And then just if I could follow up on the core margin outlook again, I know that was one of the first questions. But can you just clarify again what you're looking for in the third quarter and some of the drivers to the margin for the third quarter?
Thomas Cangemi: I think the driver is going to be consistent from the previous quarter. We're about 3 basis points. So I think my guidance was 2 to 5. We came in at up 5 in Q2. And again, that range is reasonable for Q3, let's say 3 to 5-ish. And ultimately, I think that as we bring on these technology initiatives that have zero cost of deposits that helps us, but we are setting up in excess liquidity. At the end of the day, we have an opportunity here to continue to drive down the cost. We have some borrowings coming due – not a whole lot of bonds coming due, but some that will be reduced. Next year, we have a significant amount of opportunity ex-Flagstar on the macro hedge that we probably saved about 200 basis points and $2 billion of derivatives that when we combine with Flagstar it's not necessary to have in the balance sheet to macro hedge against the fixed portfolio. They are predominantly asset-sensitive. So we'll pick up a significant benefit there. It's about $40 million of pretax earnings coming to the margin. So it seems like we'll have an ongoing margin expansion throughout going from 2021 into 2022, albeit with the consolidation of the business model. So what's driving it in the short-term, it's going to be lower cost of funds and holding reasonable yields on the multi-family side.
Peter Winter: Okay, thanks Tom.
Operator: Thank you. Our next question comes from Steven Duong with RBC Capital Markets. Please proceed with your question.
Thomas Cangemi: Good morning, Steven.
Steven Duong: Good morning, guys. Tom, I think we have about $2 billion swaps rolling off in February. Can you remind us how much of a boost it gives to NII? And should we see that in the second quarter of next year?
Thomas Cangemi: So I would say to you – and I think I just said on the last question, we anticipate – clearly, with combining with Flagstar, the company will be asset-sensitive. So having that derivative on more likely than that it will be removed. So we'll take that off. It's probably picking about $40 million of pretax. It's a 2% benefit, 2%, 200 basis points savings on about $2 billion going into next year. I think it's – in February, John?
John Pinto: Yes, February.
Thomas Cangemi: Yes. February of next year. So assuming mid-Q1 2022 that comes off, one of many benefits we're going to have when we combine the franchise, which is not indicated in our forecast when it comes to the merger math, right. So we're expecting margin expansion, and we'll have optionality when we go into the transaction, right. We're going to have a large wholesale finance book that we can make decisions upon. We have a substantial amount of liquidity coming from the Flagstar company in respect to their escrow business and opportunities within their client base that we will maximize value on and look at the best use of the funding opportunities and ensure ourselves that could set ourselves very nicely for next year as we combine. So we'll have some very good optionality on how we're going to position our margin, and we're excited about the opportunity plus we always were very dependent on a stand-alone basis going to the home on bank to finance the company. We want to move more towards traditional finance for a bank.
Steven Duong: That's great to hear. So nice to have another tailwind in the first half of next year coming on. And then maybe, Tom, if you could just – you talked about that Banking as a Service. Is that mainly just your focus on growing deposits there? Or is there a credit component to it?
Thomas Cangemi: So right now, we haven't rolled out the credit component yet. That has been the long-term. But in the short-term, we're looking at fees and deposits and opportunity. So we had I believe we – last night, we were notified on some very interesting opportunities. These are not huge opportunities, but there is a fee income opportunity, I believe, we won that's a positive. So we think in Q3, we'll have two more coming on, one depository, one fee benefits. But clearly, utilizing our technology opportunities to go out there and get other revenue/depository benefits. Over time, we are looking at other initiatives, which we're not – I'm not going to discuss in this call until we get more closer to finality. But we think there's a tremendous opportunity to focus on our digital banking platform, which we're almost there. We intend to build it out. And when we do build it out, we have some significant plans there and ultimately being able to access the consumer marketplace as well as the undisturbed banking market. There's a whole host of opportunities that are out there where that individuals are under banked or underserved. We think, through technology, we can offer products and credit enhancements for the customer that could be something that would be very useful as you build out this platform. So no question it's a priority. I called it out as a leadership role to point to the CEO, but it's important. We have to catch up. We've named a Head of Digital. We're going to be hiring in that particular area. We have some very good initiatives that are in the pipeline. I think if that all goes well this year, we should have three or four wins this year, and we're going to build it out as we look at other alternatives that are very attractive in the digital space. By the way, including evaluating how we're going to play our financial services opportunity in the blockchain, there's opportunities there, and we're spending a lot of time there.
Steven Duong: Interesting, interesting. And if I could just squeeze in one more, maybe this is to Sandro. Just on the warehouse business, obviously, it ebbs and flows with the interest rate environment. But when you're in the business for the long haul, how do you differentiate and grow your market share in that business?
Sandro DiNello: Well, I'll give you the same answer regardless of what line of business at Flagstar you asked me about, and it's about providing the best service in the marketplace. And I think we do that in the warehouse business. We've been in that business for 30 years. And so we know what we're doing. And customers like us. And we don't always have to be the best price. And so I think that's why you see – you've seen our ability to – once we focus on to grow from a very small line of business, I think when Lee and I got into our positions at Flagstar eight years ago, that was a $300 million balance in that business. And we've grown our commitments, actually. And we've grown that now to over $10 billion. And as Tom noted earlier, number two in the country behind Chase. So I think that the service model that we provide, the ability to be there no matter what the economic conditions are, when we got into this pandemic, there were a lot of warehouse lenders that were not providing the support that their customers needed, and we were there to pick that up. And that has allowed us to gain relationships with customers that we didn't have before. And we always keep enough dry powder there to be able to be there when someone is in need of a lender. So it's all about the service equation, frankly. And it's proven itself to work. And we're going to continue to do that. And I think we're going to continue to be one of the top warehouse lenders in the country.
Thomas Cangemi: And if I could just add, I mean, obviously, being a big originator, we understand the mortgage business. We buy loans from certain of our warehouse customers. And we also offer ancillary lending services, MSR lending, service and advanced lending that can be helpful to some of the bigger warehouse customers. So we're a one-stop shop in that regard. And I think that's all part of the service equation that Sandro just alluded to.
Sandro DiNello: People come and go, right. We get people that leave the business, people come into the business. But there's one company, one that's been there for 30 years providing warehouse lending in this country, and that's Flagstar.
Steven Duong: That’s great to hear. I appreciate the color, gentlemen.
Operator: Thank you. Our next question comes from Ebrahim Poonawala with Bank of America. Please proceed with your question.
Thomas Cangemi: Good morning, Ebrahim.
Ebrahim Poonawala: Good morning. And I'm sorry if I missed this, but you said a few follow-ups, one, I think Sandro, you talked about just the earnings power of the combined company. When I look at your PPNR give or take about $150 million this quarter, we've seen a big reset in gain on sales. Do you still see more room to go in terms of a decline in the PPNR power relative to 2Q, if you could just talk to that because that's been a big source of uncertainty around where Flagstar’s PPNR shakes out as we look forward into 2022 and beyond?
Sandro DiNello: Well, if you look at our capital, we've leveraged capital, I think really, really well. And so we're taking advantage of the capital base that we have in the company. And we maximize the return and we can get from that. Ebrahim, do you look at 2015 through 2020, Flagstar's total shareholder return was 162%. I think that stacks up pretty well against almost anybody. And the reason for that is, is because we focus on the end number, right. How do we get to a number that gives the market confidence – give us a market confidence that they can see value creation. And so you got to be able to move left, move right, whatever way you got to go in order to get the bottom line to where you need it to be. And that's by investing your capital in the smartest way possible, where you can get to the growth in the margins and the consistency of earnings. And so I can't – we have never historically spoken very much about the future other than the next three months. And we've given guidance in our release about the next three months. So I'm not going to go any farther than that, but I've asked you to look at history and the history means anything. I think you can get yourself pretty comfortable with the opportunity for growth in the future.
Ebrahim Poonawala: Understood. And this is a separate question, Tom, you talked about bringing on teams some of that under the leadership from Reggie Davis, should we expect any onboarding of hiring commercial lenders prior to the deal flows? Or is this going to be more of a 2022 event? And even if so, are you already talking to folks to bring them on early next year?
Thomas Cangemi: Hey, Ebrahim, we’re extremely active. What's interesting about the consolidation way listing, it's to our advantage. So obviously Reggie has been very busy, sorting out the opportunities in our marketplaces. We're doing a lot on leadership roles right now. Obviously, we're integrating the company culturally, but there's a lot to do. We think there's tremendous opportunity. We talked about lines of businesses, we talked about having individuals out in the field, even down to the branch managers, having people, the market managers, getting out there and going after the business that culturally, what we never did here at NYCB. That's what Flagstar is doing, but we want to do that for the combined company. So Reggie has a very substantial task in front of him. We're working together very well. We’re excited about people calling us both not only just one on the retail side and the C&I side, but also on the mortgage side. I think the fact that this company getting just south of $90 billion in the mortgage space, I think we're bigger now. And I think there's going to be a lot of excitement on Lee Smith’s business that people will want to gravitate here. So talent is knocking, which is always great. And we're looking at opportunities and we'll be standing by these businesses. And we're excited about the opportunity. We talked about – Initially when we announced the deal, we called it the Picasso, we started with a blank page. What are we going to paint here? Starting from zero is a good start. We have a lot to do on the retail side. And I know Reggie truly believes that our share is strong. We don't have a share of the loan book and we're going to get it. And we're going to get with people and processes and being out there and offering competitive products and work, as Sandro indicated, with loyalty and trust with the clients. And that's the plan. I think it's going to be a very interesting opportunity for this company. We'll look back a year from now and talk about growth and what we've accomplished, but every day we accomplish something and it's going to be focused on building a better company.
Ebrahim Poonawala: Sounds good. Thanks for taking my questions.
Thomas Cangemi: Thank you, Ebrahim.
Operator: Thank you. Our next question comes from Matthew Breese with Stephens. Please proceed with your question.
Matthew Breese: Good morning.
Thomas Cangemi: Did you change firms?
Matthew Breese: Yes, I’m at Stephens now.
Thomas Cangemi: But said Piper Sandler.
Matthew Breese: Must be old. Tom, could you give us a sense for how much of the loan portfolio combined will be floating rate and able to reprice with Fed hikes? And I appreciate that with and without floors, if you have it.
Thomas Cangemi: That's a great question. I don't have the specific number in front of me, John maybe could add some insight. But at the end of the day, Flash has always been a floating rate franchise. They've looked at all of their deals and had it tied to a floating instrument. We've been the fixed rate lender, for the beginning of time. We will have capital markets activity on a combined basis. We're going to have the tools in our tool shed to utilize for the customer base. And we can put on the derivatives to manage that on an individual basis, but by culturally, it's a fixed-rate lender combining with an adjustment rate lender. So collectively, I think it's a good balance. Obviously, depending on what line grows faster will really determine the floating rate side of it. But for the most part, I think to be well balanced. And I'm not going to be specific on – then you can do the quick math. We have a very large multi-family book, which is predominantly fixed rate. We don't do a lot of floating rate on the multi side because we don't really offer specific derivative contracts per instrument, but that'll change as we combine and we'll have that offering for the customer base. At the same time, we also plan on working with on the capital market side alternatives versus the government alternatives, because it's difficult when your customer has to go to the government and you lose that opportunity. And perhaps we can capitalize with some of our partnerships that we have on the broker side, we have a very strong relationship with Reading Capital. I looked at them as very strong partners, and we're working with their team on getting opportunities there for the customer base. So we can partner together on opportunities. So we're going to have a blended portfolio, different verticals and hopefully over time, new verticals we offer through our customer base and have more than just the traditional lending products that we have here. Going back to the traditional commercial bank, we are transitioning to commercial banking, and we will look at opportunities – and we're going to look at conservative opportunities. As culturally, Sandro’s teams and our team historically been tremendous conservative lenders. And we look at that as part of our hallmarks of our business. Any business we go in to have to have conservative attributes on the lending side, for sure.
Matthew Breese: Okay. And then maybe turning to the core margin guide plus three to five basis points. I'm curious if that's, again, adjusted for liquidity like this quarter. And then I was hoping for a bit of a definition for what you're calling excess liquidity. So there's $2.1 billion of cash on the balance sheet this quarter, there was $2.7 billion last quarter, but I didn't see the same adjustments. So I was hoping for a little bit of a definition there.
Thomas Cangemi: So I'm going to defer to Mr. Pinto. I will tell you that the number I gave is just – we anticipate that the overall margin. It depends on where we put this cash out. We have excess liquidity, I'm hoping for more growth in Q3 and Q4. So obviously, it's going to be myriad by the transaction. We anticipate to close this transaction, hopefully by early fourth quarter subject to regulatory approval. But clearly we have a margin that's continuing to rise. It's an ongoing track record for now, a number of years now going into the Flagstar transaction with further margin expansion. And we look at 2022 being another margin expansion irregardless where interest rates are. So John, if you want to expand upon some of the questions on the margins side.
John Pinto: Just quickly, it's really not an ending deposit balance. It's an average deposit balance thought process, right. So if you look at the first quarter, our average non-interest bearing deposits of $3.2 billion and then we went up to $5.5 million in the second quarter so that's the change right there, that's really from that from our first technology partner relationship. So that's the piece that we carved out when we looked at the margin this quarter because as it was our first one and we didn't really know the duration of those deposits. And we did realize that if we peak very quickly and run down very quickly and that all happened within the quarter so when you look at it from a quarter-over-quarter perspective, it's down a little, but it did peak almost $2 billion higher. So from an average balance perspective, that's why we carved it out because it really hits during the same time. And that we talked about these other initiatives. I believe we have another win that we have coming on, and that should be a sizeable amount of deposit flow, zero cost of funds, which would be attractive for the bank as an alternative than using the wholesale markets for growth. And we also picked up, we believe we have another fee income opportunity on Banking as a Service, and we have a very large one that's out there. If it hits, it's going to be significant. So we're very excited about alternatives, looking at alternatives, deposit initiatives or funding strategies. We believe that it's the right direction for the bank. We believe we have opportunities on the technology by working with partners, not only just with our existing partnerships, with other partners that we're bringing to the table to bring in deposit opportunities, seeing opportunities, and ultimately potentially lending opportunities over time with the utilization of technology. So stay tuned. We hope to update the marketplace soon as we get close to getting some things done here, but we're excited about it.
Matthew Breese: Okay. You mentioned expanding your financial services offering to the blockchain and I was curious what capabilities are you envisioning adding or what markets you plan on attacking just a little bit more on that comment?
Thomas Cangemi: So I'm going to be very careful specifically to what I said. I will tell you that we're spending a lot of time understanding where the financial services industry is heading. We're going to be a diversified company where I believe. And I think Sandro and Lee believes – it's going to be changes in how the blockchain will benefit banking services. So we are very much actively looking at how that can create value for both of us on the efficiency side, as well as business opportunity. So I'm not going to be specific, but I will tell you that it's here. We’re beyond paying attention to it, we're working very hard on looking at how it can benefit us on a combined basis. We have very large businesses that via the blockchain could generate significant efficiencies and potential customer opportunity. So I'm not going to be specific, but I will say, just stay tuned and we are excited about when we are today.
Matthew Breese: Okay. Last one for me is the tax rates stepped up a little bit this quarter. What is a good run rate going forward? And then if you have a combined tax rate, would it be helpful?
John Pinto: We're still looking through the potential of the combined tax rate. We don't believe it's going to move dramatically from where we are. Maybe there'll be a slight benefit when we put the two together based on state apportionment. If you look at the second quarter, the reason is – two reasons why it was higher. Our merger-related expenses are primarily non-deductible given the type of expenses that they were. And also New York State increased the tax rate from 6.5% to 7.25%. So we did have a one-time hit to revalue our deferred taxes for that tax increase. On a run rate basis, I would say, we're just under 26% is a good run rate for us on a standalone perspective. We're still doing a lot of work on the combined basis. We don't expect it to be significantly different than that though.
Matthew Breese: Okay. That's all I had. I appreciate taking my questions. Thank you.
John Pinto: Thank you, Matt.
Operator: Thank you. Our next question comes from Andrew Leshner  with KBW. Please proceed with your question.
Thomas Cangemi: Good morning, Andrew.
Unidentified Analyst: Hey, how it’s going on. It’s Andrew on for Chris McGratty. So you guys had a very clean quarter in terms of credit and you're able to bring deferrals down further. I was just wondering what your deferral outlook from here looks like and what your overall outlook on New York City and any potential problem areas you foresee going forward? Thanks.
Thomas Cangemi: Yes. Great question. Obviously, in our prepared remarks, we talked about the drop in the loans that were subject to interest-only, it's down to, I believe $1 billion. That's two and a half at the beginning of the quarter to a billion at the end of the second quarter. You'll see that continue to drop, there's going to be – and as we get closer to the end of the CARES Act, which I believe at the end of this year. We believe most of all of our customers will be out of any form of relief. We have zero clients on full deferral, which is great. And it's been an ongoing strategy of ours and we've been very good with our customers to work with them, but we're seeing significant benefits as far as – in particular, Manhattan, reopening of Manhattan has been very favorable within last borough. That was in the waiting game. So our customers that are exposed to Manhattan, which is about 85% of the loans that were considered classified. I think the most important note of this statement here is that we think we peaked. We think that the classified assets peak in February. We're seeing the trends at decline. That will also bode well for expenses as these assets start to decline and go back into past credit assets. You also get the benefit of the FDIC expense on that. So that's going to be another favorable event as we manage our operating costs, but on the credit side, it's been a very good story. Sandro talked about his credit portfolio, a very strong story, has zero loans on deferral as well. So very strong credit on both sides, but we're seeing a significant momentum on the reopening. I will say that Manhattan was the last borough to get there. The other boroughs are doing fine as early as January, but now that we have the vaccine rolled out and the city's reopening and we see more employees have their – employees come back to work. You see a lot of the supply and demand issues when it comes to rental. So very strong. We've been meeting a lot of our customers. They're very pleased. There's some work to do on office and retail, but I think that'll follow as the employees and the traffic starts to pick up in Manhattan. You're going to have, hopefully, the theaters open up. Look, the delta is what it is. I'm not going to make a healthcare prediction. We're going to follow CDC guidelines, but I think it's encouraging to see New York fare well regarding the pandemic. And it's good to see the city moving in the right direction. And our customers are very pleased and we're seeing tremendous assets quality results be close to that.
Unidentified Analyst: Great. Thank you for the color. And then just one more if I can. Was there any reason why you moved your P loans back out of held-for-sale into the held-for-investment portfolio?
John Pinto: Thanks. Our PPP loans was down to $95 million. We were very comfortable with holding those and given where the market was and the excess cash we had, we were just very comfortable holding those loans long-term. So we decided to move them back into held-for-investment.
Unidentified Analyst: Okay, thank you.
Operator: Thank you. There are no further questions at this time. I'd like to turn the floor back over to management.
Thomas Cangemi: Thank you again for taking the time to join us this morning and for your interest in NYCB and Flagstar. We look forward to chatting with you again at the end of October, when we will discuss our performance for the three and nine months ended September 30, 2021 and provide further updates on the planned merger. Thank you.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation. Have a wonderful day.